Operator: Good morning. My name is Victoria, and I will be your conference operator. At this time, I would like to welcome everyone to ADP's Q1 2014 Automatic Data Processing Earnings Conference Call. [Operator Instructions] Thank you. I will now turn the conference over to Ms. Elena Charles, Vice President, Investor Relations. Please go ahead.
Elena Charles: Thank you. I'm here today with Carlos Rodriguez, ADP's President and Chief Executive Officer; and Jan Siegmund, ADP's Chief Financial Officer. Thank you for joining us for our first quarter fiscal 2014 earnings call and webcast. Starting today, we are modifying how we conduct ADP's investors calls. We are no longer speaking to formal presentation slides; however, a slide deck containing this quarter's financial results has been posted on the Investor Relations section of our website at adp.com. As a reminder, the quarterly history of revenue and pretax earnings for our reportable segments is also available on the Investor Relations section of our website. These schedules have been updated to include the first quarter of fiscal 2014. When you review these schedules, it is important to note that we have made changes to what is included in our segment reporting to align our financial reporting with how management views the businesses. As a result, effective this quarter, we are no longer allocating a cost of capital charge to the segments and all prior periods presented have been restated to conform. Additionally, we are no longer restating prior year segment results for current year budgeted foreign exchange rates for these periods. Rather, the segment results for the current and prior periods are presented at actual foreign exchange rate. As a result of these changes, you will no longer see reconciling items on our website schedules attributable to cost of capital or foreign exchange. And as we have gotten feedback from many of you on the effect of our restatements, the effect that the restatements have had on your model, this should greatly simplify your process. I'd like to remind everyone that during today's conference call, we will make some forward-looking statements that refer to future events and, as such, involve some risks, and these are discussed in our earnings release and in our periodic filings with the SEC. With that, I'll now turn the call over to Carlos for his opening remarks.
Carlos A. Rodriguez: Thank you, Elena. Good morning, and thank you for joining us. I'd like to start the discussion with an update on how we are executing against our growth strategy and focus my comments on Human Capital Management, which we refer to as HCM. I will also provide my thoughts on our results and update you on how our business is doing. Then Jan will take you through the financial highlights for the quarter and our current forecast before we take your questions. From an overall standpoint, ADP is growing its integrated suite of cloud-based HCM, benefits and payroll solutions, which is at the core of who we are. I'm pleased to state that ADP is delivering on this growth initiative by enhancing and innovating across our HCM platforms for companies of all sizes. Our RUN platform for small businesses continues to sell well. Through our deep experience in servicing this segment of the market, ADP understands that small business owners need work solutions that are as effective as those used by larger organizations. We're pleased by the continued success of RUN and have about 285,000 clients on this platform. In fact, the number of RUN clients now exceeds the number of clients on our former platform by more than 2:1. We also recently introduced exciting enhancements to our ADP Workforce Now and ADP Vantage HCM solutions in the U.S. Today, more than 40,000 employers who use these integrated platforms can benefit from some exciting innovations. We've added analytics that support data-driven decision-making, a new digital document management solution that stores the myriad of employee records within ADP's secure ecosystem, which average about 50 documents per employee, and a new global human resources system of record for U.S.-based midsize and larger businesses that helps to manage employee populations in multiple countries. It's important to note that our global Human Resources system of record build on ADP's long-standing expertise in managing the global needs of businesses. And finally, we've enhanced ADP's mobile solutions app, which is already used by nearly 1.5 million workers and is frequently rated as a top business app in iTunes. We realize that both employers and employees are dramatically changing how they do business and mobile is a large part of that story. I'm proud that ADP is pushing the boundaries of how mobile solutions help employers and employees manage their Human Resources need, and I view this as a market differentiator. The last product innovation that I want to leave you with today is our next-generation recruiting platform that we just introduced to the public at ADP's first innovation day. This sophisticated recruiting platform is a significant enhancement that rounds out the spectrum of our HCM solutions set. Its deep integration with social media differentiates ADP in the marketplace and is an important means for employers to identify top talents and communicate with prospective employees. I also want to discuss the Affordable Care Act, commonly referred to as ACA. You've heard us say that compliance has always been a key part of ADP's value proposition. And we believe that the ACA creates opportunity for ADP to assist our clients in managing numerous compliance requirements. ADP is uniquely positioned at the intersection of payroll, time and attendance and benefit administration, which is the core of our HCM solutions, making our platforms ideal for employers to navigate their responsibilities under ACA. I hope you're as excited as I am about the new innovations ADP has brought to market, and I look forward to sharing more with you on future calls. Now let's move to the first quarter results. ADP reported solid results for the first quarter, starting the fiscal year with strong revenue and earnings growth. I'm pleased that revenues grew 8% and earnings per share grew 10%. Our business segments performed well and achieved solid revenue growth during the quarter with good pretax margin expansion. Jan will take you through more of the details, but before he does, I'll provide you some comments on our business segments and more detail on Employer Services and PEO Services new bookings. Overall, Employer Services delivered solid results. The integration of Payroll S.A., a small but strategic acquisition we completed in Latin America in last year's fourth quarter is going well, and the business is performing in accordance with our expectations. Worldwide client revenue retention continued at a very strong level. As you read in this morning's press release, new business bookings growth from Employer Services and PEO was 1%. I want to remind you that in our last call, we've stated that our past experiences with very strong year end finishes, as with the case with this fourth quarter, often lead to soft first quarter bookings growth. In the U.S., small business bookings were very strong. However, large multinational enterprise market bookings fell short of last year's first quarter, due in large part to a very strong finish in fiscal 2013. I also want to remind you that these larger transactions create lumpiness in bookings growth from quarter-to-quarter. In the U.S., we are actively rebuilding the pipeline for potential new transactions. For large multinational companies, I'm pleased that the pipeline for potential multinational transactions for our GlobalView platform is growing. And we're investing in our sales force and plan to increase our sales headcount by 4% for the year. Our hires will be concentrated upmarket in the U.S. and in markets outside the U.S. Having said all this, we are confirming our guidance of 8% to 10% growth in new business bookings for the year. Turning from Employer Services, the PEO continue to grow nicely. Our PEO is the largest in the U.S. in terms of worksite employees, and I'm excited that we reached a new milestone, serving 300,000 worksite employees during the quarter. Moving on to Dealer Services. The outlook for the automotive landscape in North America is good, and the market forecast for calendar year 2013 vehicle sales is strong. The automotive landscape across Continental Europe is still soft, though our International business continues to grow on strength in the Asian markets. Dealer Services is also innovating through continued investment in digital and layered applications. For example, Dealer has exciting new cloud-based workflow platforms to seamlessly join predictive digital advertising in a superior consumer experience while significantly improving dealership productivity. And with that, I'll turn it over to Jan to provide the financial highlights and a look at the full year forecast.
Jan Siegmund: Thank you, Carlos, and good morning, everyone. ADP delivered strong revenue growth of 8% for the quarter. Over 7% of this growth was organic. We achieved 7% pretax earnings growth, 9% net earnings growth on a lower effective tax rate and 10% EPS growth on fewer shares outstanding. These are very solid results in my view, and I'm pleased that revenue growth was strong across our business segments. Employer Services grew total revenues 8%, the PEO grew 12% and Dealer grew 7%. In Employer Services, revenue growth was across-the-board. Each of our strategic pillars, Human Capital Management, our HR BPO solutions, global and adjacent solutions contributed to growth this quarter. We continue to focus on providing excellent service to our clients, and as a result, we continue to enjoy strong client revenue retention. Additionally, as we continue to successfully migrate our existing client base to ADP Workforce Now and sell more bundled HCM solutions in the mid and large markets, we believe client retention rates are higher than our older standalone solutions. Same-store pays per control in U.S. Employer Services were strong, with an increase of 2.6%. However, same-store pays per control declined 0.8% across Europe as anticipated. Although the Eurozone recession has officially ended, economic growth lags the U.S. and unemployment remains high. Average client fund balances were strong during the quarter, increasing 8%, driven by new client growth, especially in small business services and increased pays per control. The positive impact from the January 1, 2013 expiration of Social Security tax holidays also contributed to balanced growth, and once anniversaried, the year-over-year comparison for balanced growth is expected to become more difficult in the second half of the year. Additionally, the holding period for certain tax liabilities was larger in the quarter than in last year's first quarter due to certain remittance dates falling on a weekend this year, and we anticipate this will reverse on us as we progress through the fiscal year. The PEO had a solid quarter with 12% revenue growth, driven by 11% average worksite employee growth. First quarter new business bookings were strong in the PEO. Moving on to Dealer Services. The North America core business drove just over half of the revenue growth in the quarter and benefited from continued strong transactional revenues. Revenues from digital advertising, websites and search are strong and growing. ADP's overall total pretax margin declined slightly for the quarter. Margin expansion in the business segments was offset by the negative impact from the decline in high-margin client fund interest revenues due to lower interest rates. The strong pretax margin expansion in both Employer Services and in Dealer Services was driven primarily by operating leverage. The lower level of new business bookings for Employer Services resulted in slower growth in sales cost, which benefited the Employer Services margin this quarter, but is anticipated to turn around as the fiscal year progresses. As Carlos mentioned, we are confirming our full year new bookings forecast. In achieving this bookings forecast, we anticipate that next quarter's sales expense will grow faster and, therefore, not contribute to the pretax margin expansion at the same level as we saw this quarter. The success achieved by our in-house sales organization is another area of positive contribution to pretax margin expansion. We are seeing the benefit from their use of online tools to drive efficiency and to better partnering with our feet-on-the-street sales force. And before we leave the discussion on the quarter's results, I want to point out that the decline in client interest revenues resulting from low interest rates continues to be the most significant drag on ADP's result. As anticipated, ADP's revenue growth was muted, nearly 1 percentage point as the lower yield more than offset the benefit from the 8% growth in balances. Pretax margin was negatively impacted by 110 basis points, and diluted earnings per share was lower by 3% or 5 percentage points for the quarter -- by $0.03, I apologize, or 5 percentage points for the quarter. Excluding this impact, it is evident that the leverage in ADP's business model is strong and intact. The important takeaway I want to leave you with related to the client fund investment strategy is that we believe the bottom of the cycle in terms of size of the year-over-year decline was last fiscal year and the worst is behind us. Now looking ahead for the year, I am pleased to reaffirm our initial financial 2014 guidance that we provided to you on August 1. And before we take your questions, I want to remind you that ADP has continued its shareholder-friendly actions. We've repurchased 4.2 million ADP shares in the quarter for a total cost of $303 million. I will turn it over to the operator to take your questions.
Operator: [Operator Instructions] We will take our first question from the line of Paul Thomas with Goldman Sachs.
Paul B. Thomas - Goldman Sachs Group Inc., Research Division: I guess, I'm starting off on the new sales growth. Was any hesitation related to the government shut down? At least, in magnitude, the drop looks similar to what we saw last year ahead of the fiscal cliff. And any update on new sales 1 month into the December quarter?
Carlos A. Rodriguez: I think that when you think about the timing of when the shutdown took place, it doesn't feel like it was a major factor. I think we believe that a bigger factor was the very strong finish in the fourth quarter. When we look at our overall sales results, we had really good results that were in line with our expectations in every segment except for the upmarket, where there is a great deal more lumpiness, and we've -- this theme has been recurring for years if not decades at ADP, that it's when you have a very, very strong finish in a large market, it tends to drain the pipeline into the following quarter. So we believe that that was a -- the most significant factor was the strong finish in 2013, and then just poor execution on our part overall of not making sure that we have sufficient pipeline in going into the first quarter. We also had a difficult compare over last year's first quarter, so that also doesn't help. But I wouldn't ascribe a great deal of blame to the government shutdown, at least not on our sales results, perhaps on what you saw this morning with the employment report and maybe other factors, and our October results may have been affected by some chipping away of confidence or whatever you want to call it as a result of the government shutdown. But the quarter was basically done by the time the government shutdown issues really emerged.
Paul B. Thomas - Goldman Sachs Group Inc., Research Division: Okay. And you spoke in the past about your new sales goals for the year, you expect to meet those roughly half from sales force productivity and half from headcount growth. The 4% increase in headcount you talked about, was that in reaction to the slow start of the year, or was that already part of your plan entering the fiscal year?
Carlos A. Rodriguez: It's actually a great question. As I was reading it, I was wondering if someone would ask that question because it's a logical question, and no, we were just kind of reaffirming that we are -- we have a few other things that we're going to talk about that we're continuing to invest in on the sales cycle, like we're doing a lot of investment in search engine marketing and trying to increase the number of leads to our sales force. We're also investing in headcounts. So no, there was no -- that comment was really just to reaffirm that we're doing the same things we've always been doing, so you didn't get the impression that we had under-invested or that we were under-investing in sales. So that is in line with our plans, and we just wanted to make sure that we reaffirm that.
Paul B. Thomas - Goldman Sachs Group Inc., Research Division: Okay. One more from my end. On your innovation day, you highlighted some of the new document management and recruiting functions. And I just want to be clear on as part of the product refresh, were there any features added specifically for the reporting requirements of the Affordable Care Act? You talked a little bit about that in your prepared comments. Is there more to come or you're expecting those to be met with the features you already have?
Jan Siegmund: No, there will be, through the reporting but also through workflow adjustments, specific use cases. They relate mostly to the management of part-time versus full-time employees and other enrollment actions in each of them. So the reporting will support, but there will be also these use cases that flow in workflow streams through the -- both the HCM applications.
Carlos A. Rodriguez: We do have -- we have a dedicated group working on solutions to help with compliance of ACA. And we have had one thing that we already had that helped our clients just from a communications standpoint regarding ACA, but it didn't really require any technology. It was basically a communication to all employees about their coverage that was required as part of the ACA.
Operator: Your next question is from Bryan Keane with Deutsche Bank.
Ashish Sabadra - Deutsche Bank AG, Research Division: This is Ashish Sabadra, calling on behalf of Bryan Keane. I just have a follow-up question on the sales bookings. So you highlighted that the bookings were strong in the small businesses, the weakness was mostly in the national accounts, I believe. How about the mid-market? If you could just provide some more color by different size, merchant sizes? And also going -- just to follow-up on that, going into your peak selling season, how do you feel about the competitive environment? And if you could just comment on that as well.
Carlos A. Rodriguez: In terms of some additional color on sales, I think in the fourth quarter call, we talked about, again, just to reiterate, when we have, just voice of experience, when we have these strong finishes, and we really did have an exceptionally strong finish in the fourth quarter of '13, we always tend to struggle in terms of in the first quarter. So we had plans, and I think we signaled that in our last call that our sales growth, we don't disclose quarterly sales growth in terms of our plans, but I think we did signal that we expected the first quarter to be below the full year in terms of sales growth. And of course, that's what we've got. This was obviously even below what we expected, the 1%. We expect the weakness anyway. And so the rest of the business units outside of the upmarket basically delivered results in line with those expectations. So not in the strong double-digits because of the strong finish we had in 2013, but in, call it, the high-single digits, which we consider to be strong based on the backdrop of the strong finish in 2013. So really, the entire sales force performed as expected, and in our view, in a strong manner, except for the upmarket. In terms of going into the selling season, you heard us reaffirm our guidance. We believe we have the headcount, we believe we have the products, and we believe we need to execute in order to hit those numbers. So we don't -- at least right now, it's too early for us to say that we either can't make it or that we're going to exceed it. So that's why we kept the guidance the same in the 8% to 10% range. So I think that would tell you that we have not seen any material difference in the competitive environment, our ability to win, and we expect to have a very strong selling season.
Ashish Sabadra - Deutsche Bank AG, Research Division: And just a quick follow-up on pricing, have you changed any -- have you seen any change in pricing dynamics in the industry?
Jan Siegmund: No, we have not seen any material change in the pricing dynamics in any of our markets.
Operator: Your next question comes from George Mihalos from Crédit Suisse.
Georgios Mihalos - Crédit Suisse AG, Research Division: Just to go back one final time on the new sales growth. Is there a way to think about the percentage of new sales that typically comes in through the first quarter as we go through the year?
Carlos A. Rodriguez: I seriously doubt that would be the last question about sales, but we'll answer your question anyway. So Jan may be busily trying to find what that percentage is, but it's not 25% because our first quarter skew is typically lower than the third -- I'm sorry, than the second and the third quarters, so I'm confident that it is less than 25%, but I don't know the exact number. And so I think your math -- I think it's a fair question. I don't think it helps us that much. We still have a lot of work to do, so we'll have a lot of wood to chop to get back up to the 8% to 10% range. Because although it's true that the first quarter isn't as important as other quarters, it's -- we have big numbers. These are -- we have one -- I think our forecast for the year is over $1.4 billion in sales. So even if the first quarter is 20% and another quarter is 28% or 30%, it's still challenging. We have a lot of work to do.
Jan Siegmund: We don't disclose our quarterly sales volumes, but the skewing is in a few percentage points, not in the double-digit changes.
Georgios Mihalos - Crédit Suisse AG, Research Division: Okay, that's helpful. And then just a follow-up on Europe. I think you said that pays per control were down 0.8%. I think that was largely in line with what you saw last quarter, if I'm not mistaken. Do you think that Europe in aggregate is starting to bottom?
Jan Siegmund: This is a question that I also discussed at length with the team. I was, last couple of weeks ago, in Europe, and I'm trying to sniff out if we see the early signs of that recovery, and it's really exactly the same number that we had in the last quarter. Notionally, we would feel it should have bottomed out and we want to see slight improvements. But -- and that's kind of what the gut feel tells you and me, but the numbers are really exactly what we expected and we have not seen an upshift. But it's almost smelling that there could spring in the air, but we have not seen it in the numbers. It continues to be that Southern Europe is struggling, and that's where most of the challenges are, and then the core countries feel like that they're kind of at the verge of getting better.
Operator: Your next question is from Sara Gubins with Bank of America.
Sara Gubins - BofA Merrill Lynch, Research Division: I'll start off with an HCM question. How do you think employers are thinking about switching HCM providers as opposed to upgrading systems? And I'm wondering, because there's been some research that suggested that there would be more interest in replacement as opposed to upgrades now versus in the past, and I'm kind of wondering what you think about that and what it could mean for ADP.
Carlos A. Rodriguez: We've seen, I think, a lot of different research that comes to -- everybody has different conclusions depending on who funds the research, that's why we prefer independent research. The -- I think there's no question that the changes in technologies infrastructure around cloud have created a potential opening for people to reconsider and think, not just for HCM, but other parts of their business, how they use technology and whether they want to make those infrastructure investments themselves or they want to have them reside in someone else's backyard. And so, I think it is possible that the acceptance and the growth of cloud-based solutions across multiple industries will create a greater propensity or more openness towards potentially switching versus simply just upgrading, so that's a possibility. We believe that we would be beneficiaries of that because at the end of the day, we are kind of the ultimate cloud provider and have always kind of provided our clients on a hosted basis, if you will, on an outsourced basis. So I think the willingness of people to rethink how they do things and willingness to outsource more around their infrastructure in the cloud, I think, is something that we hope will benefit us.
Sara Gubins - BofA Merrill Lynch, Research Division: Great. And then a question on RUN and EasyPay. Is the overall count of clients, when you combine RUN and EasyPay, going up? And given the shift of the pace towards RUN, do you think it will still take about 18 months to get everybody on RUN or could that actually happen faster? And if it does, if you could talk about the cost benefit of maybe not having to run EasyPay, that would be great.
Carlos A. Rodriguez: Yes. The combination of EasyPay and RUN, our unit growth is in the 4% to 5% range year-over-year, which is quite strong. I'm looking for a fact check on that, but it's in the 4% to 5% range, which obviously we're extremely pleased with that because it does feel like we're gaining market share and, certainly, doing well against the competition in that space. So we are selling very little EasyPay now, so obviously, it's just a combination of what we're selling and what we have on RUN and then what is attriting, if you will, on EasyPay. But to answer your question if you combine those 2 is that we have very good growth in that part of our business. And as we disclosed our unit growth numbers overall for ADP, it is important to remember that, because of the skewing of how many clients we have in that space, which is over 400,000, it does tend to skew the growth number. In other words, i.e. most of the growth for units for us is taking place in that space, in the combination of RUN and EasyPay. And I'm sorry, the second part of your question was?
Jan Siegmund: On migration.
Carlos A. Rodriguez: On migration. How could I forget? That was one of my favorite topics. So we're having some internal discussions, if you will. I would almost call them fun, if they weren't so serious about how fast we can get off of EasyPay. Because we do think that it has a value financially for us, which is I think the nature of your question, but it has also much more value for us symbolically, right, in terms of our push to just overall focus more on migrations not just in small business, but really across all of ADP. So this concept of really simplifying our platforms and migrating clients is a big deal for us internally. We don't talk about it a lot externally, but we do have a lot of focus on it. So as of right now, I have a discussion last week with the leader of that business, Anish, who is -- they're working very, very hard on bringing that 18-month time horizon in closer to 12 to 15 months. But we also don't want to obviously leave clients to the competition. And so we want to make sure that we migrate those clients in an orderly fashion and that we consider what their needs are and that we make sure that we have the right level of support and service for them when we bring them onto RUN. So I would say that the short answer to your question is that 18 months at the longest, and I'm hoping that it is shorter than that.
Operator: Your next question comes from the line of David Togut with Evercore.
David Togut - Evercore Partners Inc., Research Division: Carlos, you addressed the migration timeline from EasyPay to RUN, but could you also give us an update on the timeline to Workforce Now?
Carlos A. Rodriguez: I know Jan is going to give you some of the specifics. But again, anecdotally, I also happen to speak with the other -- the leader of that business, Regina, last week as well, and very, very pleased with the progress in our mid-market in terms of client migrations as well there. So heard some -- seen some really great results in terms of some older versions, if you will, of Workforce Now, our previous platform, PCPW, and another one, Pay eXpert, that have been -- a couple of which have been retired. So we still have work to do to get all of our mid-market clients onto Workforce Now. But I think it's another place where I think we're ahead of our plans, and I'm really pleased with the focus of the organization and the pace that we're going. So I don't know, Jan, if you have...
Jan Siegmund: No, I believe we have approximately 15,000 clients left on PCPW. And both in RUN, for the first quarter, as well as for PCPW, we're ahead of our plans. So the migration teams are working well, and migration's accelerating in pace basically overall. So that gives us that comfort that the timeframe is -- the range that we gave you is probably more comfort towards the earlier than the later finish at this point in time.
Carlos A. Rodriguez: And we're very -- part of the strategy behind migration is first of all, it's the right to do because the clients should be on our best platforms because we believe they really help them run their businesses. But it also, as a side benefit, reduces the size of the pond in which our competitors fish. So we believe that head-to-head competition, our platforms today sell very well and compete very well, and we need to really get those clients on those platforms to really keep the competition from getting to them first.
David Togut - Evercore Partners Inc., Research Division: Second question. If we add back the impact from lower interest rates on your earnings, it looks like you would have posted 15% earnings per share growth x the lower interest rate, which is a rate of earnings growth I don't think we've seen since before the financial crisis. And even then, you still have the brokerage business, at least up until about a year before the financial crisis. So more of a longer-term question, based on the results you've recently seen and some of the new products that you've introduced, is it possible we could be looking at a higher earnings growth rate than we've seen historically once we get past the negative impact from lower interest rate on slowed income?
Carlos A. Rodriguez: Let me start answering the question by focusing on revenues. Some of the times that you're mentioning in terms of periods back where we had slower earnings growth, we also had lower revenue growth. And so our model really does benefit quite a lot from a margin and profitability standpoint when we can accelerate revenues, which is why we've been so focused on this concept of net new business and the difference between sales, or the business we start versus the business that we lose. In the last 2 or 3 years, we've gotten decent traction in terms of that net new business contributing to our revenue growth. So when you combine that with pays per control growth and a little bit of price increase, we're getting, as you can see, into the 7% to 8% growth range, revenue-wise, and that's with the 1% drag from interest income. Because interest income doesn't only drag the bottom line, but because of the way we report interest revenue, because it's part of our core business, it also affects our revenue growth. So getting solidly into the 8% to 10% revenue growth range really provides us with a lot of opportunity to drive margin improvement, and also to invest in the business, whether it's in some of our technology and product or in the sales force. And so we feel extremely good about the progress on margins in the quarter. I think your statement was accurate, but I just want to make sure that I added context in terms of 2 or 3 years ago, it would have been hard to generate the kind of earnings growth that we just delivered this quarter just because the revenue growth wasn't there. And some of that was the backdrop of the economy coming out of a difficult recession in terms of sales and losses and so forth. So we had the benefit, I think, of the economy recovering. I think we've had good execution from sales with 2 years now of double-digit sales growth. And I think we're really getting that top line revenue growth that allows us -- provides us a lot of flexibility in terms of generating resources both to give back to shareholders in the form of earnings growth, but also to reinvest in the business. So I'm not going to get into the math. The math that you, I think, laid out is accurate, and it is the math.
Jan Siegmund: Maybe to be the conservative CFO for a tiny bit, David, consider also that we had slight help on the NFE because of our weaker sales results in the quarter that helped a little bit. Not much, actually, not as much as the degree we talked about in the fourth quarter. But -- so there's a little bit of quarter-specific items in here that make the margin expansion really nice for the quarter.
Operator: Your next question is from the line of Jason Kupferberg with Jefferies.
Jason Kupferberg - Jefferies LLC, Research Division: Can you just remind us where you delineate in terms of number of employees between small, mid and large enterprise? I don't know if that's changed at all. I feel like we haven't discussed that in a while.
Carlos A. Rodriguez: It's actually a great question because we're trying to delineate less and less in the sense that, again, I think we said this in a couple of calls and it's worth reiterating, that we are selling our platforms across market segments. And so the bright lines that we had 5, 10 years ago, I think, are fading for the right reasons because those bright lines are not market-oriented. And so as an example, we sell our RUN platform into the mid-market and we sell Workforce Now into the national accounts market. But to give you specifics on the answer to your question, internally, we have a business leader responsible for 0 to 50 employees. We have another business leader responsible for 50 to 999 or to 1,000. And then above 1,000, we have a different business leader, and we consider that to be national accounts or upmarket. But all these leaders are part of the same team. They're part of my team. And one of the things we've been focused on a lot in the last several years, and this goes back probably 3 or 4 years, is figuring out how we sell the right platforms to the right client, irrespective of the segment. And we've actually executed quite well against that in the sense that we're selling a lot of RUN into our major accounts segment and we're selling a lot of Workforce Now down into the small business market when it's a complex client or a client that has complex needs. And just this last quarter, we had really robust sales of Workforce Now in our national accounts space, where that platform is a good solution for many clients where the Vantage platform may not necessarily be the right fit.
Jason Kupferberg - Jefferies LLC, Research Division: Okay, understood. And just going back to your comments earlier around rebuilding the pipeline for the large enterprise. I mean, I just want to get a sense because I know the sale cycles are obviously long in that segment. So as you sit here with, I guess, what do we have, 8 months left in the fiscal year, I mean, is there enough time to rebuild the pipeline and then actually convert the pipeline into sales to make sure that you get to that 8% to 10%? Or do you think it's really just going to come down to how a few deals break either way in Q4?
Carlos A. Rodriguez: It's actually both things. You're quite correct about the few deals breaking things. This is one of the things that's been -- this has been true for years, whether in GlobalView and in national accounts, a few deals do make a difference, particularly in 1 quarter. And so we probably need a couple of deals to break our way over the course of the next 8 months, and then we also need to rebuild that pipeline and close some of that business. And just remember that, for us, again from a revenue standpoint, we want to close the business and then get it started. And so right now, we are actually benefiting from all the strong sales we've had over the last couple of years, including the last quarter, and we need to kind of rebuild that. But from a revenue standpoint, it doesn't have a huge impact on us in the short term. This is all about getting the signature on the deal. We still have to then start the deal after that. So as we rebuild these pipelines and execute and close the business and get the sales, there's still a 6- to 12-month lag for that business to become revenue. So I know you all know that, but I just want to kind of put that reminder out. But you heard our guidance. We believe that we can rebuild those pipelines, we can get enough business closed to help us get to that 8% to 10%. But I think you also hear us being somewhat cautious in the sense that we would have preferred to have ended up in the mid single-digits growth for the quarter in sales and not low single-digits.
Jason Kupferberg - Jefferies LLC, Research Division: Yes, that's fair. And just last question for me. You made a brief reference to the national employment report you guys put out this morning. And it looked like the job number was somewhat below consensus. I think it's declined for 4 straight months or so now. I mean, is this turning into a potential pattern that we should be concerned at all about in terms of possibly reversing the trend of improving U.S. employment that we had been witnessing for a while?
Carlos A. Rodriguez: I think when you listen to the economist Mark Zandi, who really helps and kind of has the real data behind the numbers that we report, we do believe, in this case, unlike in our sales results, that the government shutdown did have an impact. And so, if you listen to him this morning describe kind of where he is, he believes that that number probably had a 20,000 to 30,000 impact, if you will, from the government shutdown. But even excluding that, that gets you back to, call it around 150,000, which is really below the trend back 6 months ago. So when I look at these numbers, I try to look at more than just 1 month. And if you look at, excluding October, the previous 2 quarters, the last quarter was down sequentially about 20,000 per month on average than the previous quarter. So the trend was definitely down, but it feels like 150,000 is where Zandi would say we are right now, which is not where we were before at 170,000 or 190,000. But right now, it doesn't seem like it's the number that's -- there is no clear indication yet that, that's going to break even lower than that kind of 150,000 trend. Because this month had some noise in it because of the government shutdown.
Operator: The next question is from Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research: Carlos, as you look at the payroll business, do you see competition changing at all, especially now that you have more cloud-based products? Is that allowing others to maybe enter the industry that you didn't see previously?
Carlos A. Rodriguez: I mean, I think that we've had a lot of competition forever. So as long as I've been around at ADP and I, obviously, have the benefit of talking to a lot of people who've been around even longer than I have. So we have had a lot of good competitors for a very long time, there's been multiple changes in technology. And so we've been around, as you know, more than 60 years. And so we have gone all the way from punch cards to PCs to the cloud, and we've had competition all along the way, that's just the nature of the beast both in the U.S. and globally. But I think, as Jan said, we haven't seen any indications yet from a pricing standpoint that there's any issues around pricing. And in terms of the amount of competition or the fierceness, if you will, of the competition, I think our sales results, notwithstanding the first quarter, speak for themselves. We had 2 very, very strong years, even the year before that, we just missed being double digits. So we have almost 3 years of double-digit sales growth and 2 years of solid double-digits sales growth. And I think that is the best indication of all of kind of your competitive position, whether you're winning market share or whether you're not winning market share. And we feel pretty good about our position and the pivots we've made to really address the changes in technology around cloud. So we feel comfortable where we are, but we understand very well more than anyone else that there's a lot of competition, because everyone is obviously aiming at us, and we have lots of people to aim at.
Kartik Mehta - Northcoast Research: And then just to go back on your comment, you said you see less delineation in your customer segments. Is that the result of just all your customers wanting technology or almost the same level of technology? Is that the primary reason, or are there other reasons for your comment?
Carlos A. Rodriguez: I think, frankly, the reason for my comment was really more around internal issues around the blurring of our silos and our segments. We've been -- again, my observation of my tenure at ADP is that we've made a lot of progress now on being able to focus on the client and not on the business unit leader, and that their specific segment is their responsibility. So I think we've worked really hard over the last 5 to 10 years to blur those lines, and I think it helps us because it makes it harder for the competition, and I think it gets the clients the right solutions that they need to get the job done.
Operator: The next question comes from the line of Jeff Silber with BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: Carlos, you talked about the addition to headcount on the sales force side being up about 4% this year. Can you remind us how that compares to prior years? And I'm also curious, has that already happened this year or is it going to be more kind of smooth throughout the entire year this year?
Carlos A. Rodriguez: I think that that is pretty close to last year's headcount growth because we had, obviously, very strong sales results. And so we had more than double, if you will, the number of headcount growth from a productivity standpoint, which we're very pleased by, but we haven't planned on and we weren't counting on. And we're certainly not counting on for this year. So last year, we had around the same headcount growth, but had just some amazing productivity gains that ended up giving us double-digit results at the end of the year. I believe our plan for this year is to be around that 4%. And I think right now, we are in that range, around 4%.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, great. And then I'm shifting back to the bookings number, I'm sorry about this. But you've talked about past experience having a strong fourth quarter and then potentially a softer first quarter. How long does it take to get back to a more normalized trend? Will we see it in the second quarter or it will be more back-end loaded?
Carlos A. Rodriguez: Sorry. Could you repeat the question one more time? We're checking on your headcount growth number, which is 4% this year and I'm just looking at last year was 3%.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, great. That's helpful. My question was on bookings. You mentioned the strong fourth quarter leading to the softer first quarter. I'm just curious, historically, how that -- how long it takes to get back to normal. Will we see it bounce back in the second quarter or it would be more gradual throughout the year?
Carlos A. Rodriguez: Well, I think, unfortunately, there's more moving parts in terms of the comparison to the previous second quarter also matters. So last year's second quarter versus this second quarter will have some impact as well. As you can imagine, there are potential, other moving parts like -- we're not seeing anything yet in our sales results. But the government shutdown, and the hit to confidence, if you will, or people delaying decisions could have had an impact on our results in the October or in the second quarter. So there's a lot of other moving parts in terms of how quickly that number comes back. The real key to focus on is the pipeline, is do you have the headcount and do you have the pipeline. And we believe we do. Notwithstanding that, there will be noise along the way, whether it's fiscal cliffs or government shutdowns or other factors, strong fourth quarters and strong compares or difficult compares. So all those things are factors. But fundamentally, you have to have the headcount and you have to have the pipeline. And those are the numbers that Jan and I spent some time looking at. And that's why we believe that we can reaffirm our guidance.
Operator: The next question is from Mark Marcon with Robert W. Baird.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: One more just on the bookings side. When I was over at HR Tech, it looked like there've been some nice product improvements in terms of Vantage, and it sounds like the number of clients on that has been growing. Can you talk a little bit about what you're seeing there? You did mention that the bookings were softer on the upper end of the market. What are you seeing in terms of the win rates that are currently going in terms of the actual engagements that you're going through or the RFPs that you're going through at this point? And is it more a question of pipeline build as opposed to improving win rates?
Carlos A. Rodriguez: I think that in the upmarket for us, besides Vantage, just to be clear, the Vantage sales themselves are one, frankly, relatively small part of the overall sales results in the upmarket. So in addition to Vantage, we have our multinational sales, which were, I think, weak could be an understatement for the first quarter because we had none in GlobalView. We usually don't disclose that, but we -- that's a very, very lumpy business. So whether or not you get 1 or 2 deals in a quarter in GlobalView is very normal. So sometimes, we'll have 2 or 3 in a quarter and they help us a lot, and this quarter we had none, so that hurt us in terms of that growth rate in the upmarket. We also have our upmarket BPO solution in those results, which also tends to be a very large sales number when we sell those, what we call COS deals. And this quarter also happen to be weak from an upmarket BPO standpoint. By the way, we had a very strong year and a very strong fourth quarter in BPO, so there is no -- I don't think there's any negative news to report there other than the pipeline having been emptied. And then you come back to we have a lot of other products that we sell in our national accounts space in addition to Vantage such as standalone benefit solutions and other solutions for the benefit space. And unfortunately, it was weak across-the-board, but it really wasn't a Vantage issue. Vantage is still selling well. We had a good first quarter in terms of the number of new clients that we sold. We actually increased our starts by 50%, so we have -- we've doubled the number of clients that we have actually already -- that actually started, not just sold, in Vantage. So we really don't -- it's not really an issue of Vantage, singling out Vantage as a problem for the quarter.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. So it sounds like it's a little bit broader based, but just in terms of the general question in terms of pipeline versus win rates, was there any change in terms of the win rates and in terms of the ERPs that went through?
Jan Siegmund: No. Number one, of course, the deal volume was a little bit lower overall, so it's a little bit -- probably not a material change. Now we're talking here statistical numbers on percentage rates switch one way or the other, but nothing that has changed really relating to the competitiveness of Vantage that we can see.
Carlos A. Rodriguez: I think some of it is just the nature of the large account market in terms of the lumpiness as part of it. And I think we believe also we have some execution issues, where I think we have -- all of us put an enormous amount of pressure on each other to make sure that we get the sales results every quarter. But there's also an expectation as from a leadership standpoint that you maintain your platforms that you have, for the next quarter and the quarter after that. And we dropped the ball and we didn't execute, I think, is at the end of the day part of the challenge.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. And then with regards to the migration, I didn't get the migration schedule for both RUN and for Workplace. Can you talk a little bit more about -- I mean for Workforce. Can you talk a little bit about how we should think about that, and then what the implications would be for the margins?
Jan Siegmund: Yes. We talked, I think, in the last fiscal year, RUN, we migrated approximately 24,000 RUN clients over. And about half of them were migrated in the last quarter. So we had a very steep ramping of the migration pace. And now, in the first quarter, migrations accelerated another 50% above that rate in the last quarter. So we're still ramping, although that's not going to continue; it's going to level at some point in time. So we're getting close to that level that we anticipated is good and sustainable, but we have still a rapid acceleration and pace for migrations in this quarter, it seems. So we want to get out of this accounting for the quarter here, but the general guidance that within -- now we have quarter, we said 18 months. So the game here is really how fast in fiscal '15 are we going to be off the platform or not. And as Carlos indicated, that's moving more towards the beginning of FY '15 than the end of it, if you want guidance. So the pace of migrations in RUN is really nice and ahead of our plan and scaling well and so forth. The same thing in Workforce Now, we increased the number of migrations quarter-over-quarter, but they kind of have the teams going, they go fairly stable. Last year, we migrated approximately 10,000 clients. Now I said we have about 15,000 clients, I think, at PCPW. So clearly now, we're going to come into more tricky client situations, clients that were highly satisfied with the PCPW environment and so forth, and we want to treat them right. So as you get a smaller base to convert, there could be slowing in pace, more indicating just that the bowl to fish in is getting smaller. But same thing, the Workforce Now team is really doing a great job and they finished also ahead of their goals for the quarter.
Carlos A. Rodriguez: I think just in terms of, again, general dates, I think, we think that RUN may be able to get done in -- earlier in calendar '15 than what we previously anticipated because we, I think, previously thought it would take us kind of towards the middle of calendar '15. We think we can pull that in a little sooner. And I think Workforce Now and PCPW migrations are probably somewhere in the same time frame.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. And can you talk -- I know you're going to continue to invest for innovation, but can you talk about just the -- what that would free up in terms of funds to invest for innovation?
Carlos A. Rodriguez: I don't know that we have that level of detail to be able to share yet. I think it's a fair question as we get closer to the time and we're able to quantify more the numbers. Because the pure R&D dollars, for example, that we spent on EasyPay, that alone is nothing to write home about, frankly. And it's -- we'll take it, and we'll reinvest it in innovation. But I think there are ancillary costs related to friction around having multiple platforms, around having multiple service people, multiple implementation methodology. So I think it is broader than just the R&D. And so I think it's fair to do for us because we're doing some of it internally. But I think finding a way to communicate with all of you what we think might be the outcomes of that, I think, is a fair question. So we'll work on that, but it's not as simple as just the R&D cost because we know what those dollars are, but we think it's a broader benefit to us.
Jan Siegmund: As we have stated before, I think the increased focus on innovation will result effectively, but at this point, we are aiming to keep the ratio of R&D spend relative to revenue growth in line. So that's the area that we're not planning to scale significantly. Within that R&D budget, we fund portfolio of initiatives and innovation that we allocate, so this will give us effectively more room to invest into our strategic platforms, accelerate the pace of innovation, to make even further difference for our product. And then the operational scale that the reduction of complexity would yield will, in my point of view, support our general guidance of gaining operational leverage that we need to and want to provide to our shareholders, as we have done successfully in this quarter in particular. So if you think about it, those are the by [ph] part of our plans for the long run, to feel comfortable that the operational scale will be maintained at a good pace.
Operator: Your next question is from Glenn Greene with Oppenheimer.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Just a couple of follow-up questions. First on the ES margins. Obviously, really nice, 160 basis points year-over-year. And I think you sort of called out partly the benefit of the lower sales commissions, you're sort of tied to the bookings trends we've all been talking about. Is there any way to sort of quantify directionally how much the margin benefit year-over-year was from the lower than kind of expected sales commissions? And I think you sort of were suggesting that that could conversely be a drag into 2Q. And just kind of like looking at your sales comparison, it looks like 2Q is your easiest comp of the year. So it kind of implies that you should see a nice acceleration in bookings into 2Q. So there's kind of 2 questions there.
Jan Siegmund: All right, that's 2 quick questions. The -- I'll take the margin question. It's less than 50 basis points on the ES margins that helped, so it's less than $0.01 and so forth, so it's really smaller on the sales cost line. But it did help us a little bit. In the second quarter compare, I think you're an astute observer that the second quarter last year was hampered by Sandy impact and also another government friction that we experienced, which gave us that quarter. So your observance is correct, but we're not even closing October yet. We're just in the process of closing October. So yes, that will be our quarter that we have to grow over.
Carlos A. Rodriguez: And if I can just add. So I think, as Jan described, the margin issue, I just want to make sure that it does not come easily, the margin improvement. So I just want to compliment our field operations groups who were able to kind of deliver this kind of -- there's been a lot of hard work around, driving productivity and efficiency in the field to basically deliver the results we want to deliver to all of you, but also to be able to reinvest in the business. And they certainly have come through in the first quarter, and we expect that they're going to continue to come through. And so I just want to make sure that I got that out here. This does not come easily because your observation is correct, that it was -- that's an impressive margin improvement. And even backing out the benefit of lower sales cost, it's still pretty impressive.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Okay. And then a little bit different direction. The RUN product, obviously, has been -- you continue to put up good numbers there, good unit growth, and it seems to me gaining nice market share at that end of the market, and maybe just sort of color or commentary on that, I don't know, I doubt you'd have any specifics on it. But is there any way to sort of think about the market share you gained, you've had with RUN since you've rolled it out?
Carlos A. Rodriguez: It feels -- again, back to the research, if you look at research reports, and you look at the growth of the market itself, new business formations, there's a bunch of things you could look at that would lead you to believe that we're gaining some market share. But those numbers are so big and so squishy in terms of the range of error in terms of like every time I look at some of these numbers, it makes me uncomfortable. The only thing that I want to see is for us to continue to grow. And it feels great when it feels like we're gaining market share, but we need to focus on ourselves and we obviously need to focus on what the competition is doing to win. But this is about us, not about competitors. And we think we're doing well and we're executing, and that's where we're going to continue to focus on.
Operator: And your final question is from David Grossman with Stifel.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: I jumped on a little bit late, so if any of this has been already asked and answered, we can take it offline. But the first thing I wanted to ask is just, could you give us some updated thoughts on the Affordable Care Act and what impact, if any, you're thinking it may have on the PEO business, whether that be positive or negative?
Carlos A. Rodriguez: Yes, we had actually quite strong sales results in the PEO in this first quarter. And so, obviously, it doesn't seem like it's having an effect yet. We think that the position of the PEO is quite strong in terms of providing an alternative. Because when you really get down to it, the PEO is an exchange. It's a very large employer option for small companies. So we -- this is the way the business has always been managed and it's just the nature of the business that you're creating scale in what we call the PEO for small companies, not just for health care, but also for workers' compensation, for technology, for HR services, for a number of things. In other words, giving small companies things that typically are only accessible to large companies. And health care plans are in that category. So the quality of our health plans and the price of our health plans, we believe, has always been a differentiator for us in the marketplace. And we believe that's what's allowing us to be successful through what is now other options. So there are other options being created for individuals and for small companies as a result of the ACA. But we believe that the PEO is one of those options, and it's very viable, and in fact, it's executing quite well and growing quite nicely.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then in terms of the alternatives and the alternative would be, at least on the health care side, right, the private exchanges that emerged. Any thoughts on how we should think about the scale of your business versus potentially what these other exchanges could look like? Or is it just too early to really kind of make that assessment?
Carlos A. Rodriguez: I can give you a little bit of color in the sense that not every PEO will be the same in terms of how it handles the ACA changes. So as an example, our average wage, the pools of our clients tend to be more white-collar, higher average pay, greater participation and benefits and a greater percentage of contribution to those benefits by the employers themselves, by the small business clients that are part of our PEO. So that is a fundamentally important issue to keep in mind because, where there is potentially the biggest risk is from an exchange is where you have low average wage, low benefits participation and an exchange may provide a very attractive alternative. So this is not to say that it won't be an attractive alternative to some small business clients, but the types of small business clients that we target in our PEO, we don't believe will be immediately tempted to move to an exchange. Although some, I'm sure will. But we don't -- we believe that we have some advantage in dealing with the change because of the nature of the types of clients that we attract and that we actually have in our PEO.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Okay, got it. And then just a second question, just gets back to -- on the products side. Obviously, one of the great benefits of the new platform is the ability to sell a suite of different ADP products. And again, perhaps given where we are in the migration, it's a little early to kind of provide an update on some of the anecdotal data points that you provided in the past. But is there anything new you can share now that we're 3 or 4 months further into this? What the take rates look in terms of your ability to sell suite and how the sales force is gearing up to do that, the changes you've made to incent them to do that?
Jan Siegmund: There are 2 questions. So in the migration, we mentioned in the past that we up-sell certain product components because clients learned about the product and immediately buy some more. And we have seen up-sell activity, I think I disclosed it's about 20% higher revenue in the migration that happens in Workforce Now as we do it. That's really where this is relevant. And we have not seen any change in that momentum. So we should anticipate that that continues. Those are new sales to us, only the 20% up-sell component that flows into our new business bookings, and it's reflected in the thing. So as migrations, too. That has been part of the last year's new business bookings numbers and will be this. So there's no change in that. I think that's now fairly stable on it. And secondly, selling of bundled solutions, the attach rates remain very high in Vantage on the deals that we have sold. No change, really, to the rates that we have reported back, slight, slight error of statistics here and there, but they're really essentially the same. So I think we have -- we are delighted with the high attach rates that our upmarket products achieved and the up-sell opportunity that we had in Workforce Now. The incentives have been the same. Our sales force gets only incented on generating new return revenue that has been historic model for ADP and we didn't have to change that for this process. So the incentive structure is supportive of the overall strategy.
Operator: This concludes our question-and-answer portion for today. I am pleased to hand the program over to Carlos Rodriguez for closing remarks.
Carlos A. Rodriguez: Great. Thank you, all, for joining us today. As you could tell, we're very pleased with our results. We continue to do the right things from a shareholder standpoint, paying our dividends, executing our share buybacks when the market allows. You've heard a lot of our discussion and our focus on innovation, which I think you're going to continue to hear about. I think that it's really developing a set of products where we have, I think, offerings that are both deep, but also broad in terms of back to this issue around attach rates and the number of additional platforms that we sell along with our payroll solutions. So all of that, I think, is better positioning us to meet the needs of our clients and actually around the entire globe, not just in the U.S. And so we look forward to sharing more of these thoughts with you about our HCM strategy in future calls. And we thank you, again, for joining us today.
Operator: Thank you for your participation. This concludes today's conference. You may now disconnect.